Operator: Good afternoon, and welcome to ALFA's Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session at the end of the presentation with instructions given at that time. You may also submit questions at any time during the call using the Q&A button on the webcast, which will be answered during the Q&A session. As a reminder, today's conference is being recorded. Now, I would like to turn the call over to Mr. Hernan Lozano, Vice President of Investor Relations. Mr. Lozano, you may begin.
Hernan Lozano: Good day, everyone, and welcome to ALFA's 2024 earnings conference call. Further details about our financial results can be found in our press release, which was distributed yesterday afternoon together with a summarized presentation. Both are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. It is my pleasure to participate in today's call together with Eduardo Escalante, ALFA's CFO, and Roberto Olivares, Sigma's CFO. Before moving on, just a quick reminder that Alpek meets the definition of a discontinued operation in accordance with IFRS since the third quarter 2024. Unless otherwise specified, all consolidated figures referenced in this call exclude Alpek. I will now turn the call over to Eduardo.
Eduardo Escalante: Thank you, Hernan. Good day, everyone, and thank you for joining us. 2024 was a very special year for ALFA as we celebrated our 50th anniversary with historic developments on the strategic front, implementing the third and final spin-off to reach our vision of a single business structure. Following shareholder approval for the Alpek spinoff and accounting for the business as a discontinued operation, ALFA is effectively similar. Like in past quarters, I will focus on updates related to the status of the transformation process and Roberto will share Sigma's results. Alpek held its own conference call earlier this month. Our goal, when we started this process almost five years ago, was to unlock the intrinsic value of ALFA's individual businesses by enabling each of them to be valued by their own merits. By spinning of the companies, investors have been provided the opportunity to invest in each unit separately. In turn, each of the companies should reflect the fair valuation compared with this industry-specific peer group. We are very pleased that ALFA transformation process achieved the anticipated milestones along the way. A key condition to complete the transformation was debt reduction. Consolidated net debt declined 50% year-over-year as a result of discontinued operations, the successful capital increase and a strong operating cash flow generation. lower debt and better-than-expected EBITDA resulted in a 2.5x net leverage ratio, which is on target with our original plan. Throughout the process, we have received overwhelming support from key stakeholders. The capital raise was oversubscribed by 2.6x and 91% of our bondholders provided their consent for the Alpek spin-off. Once again, we want to thank all for their support. The transformation is also being recognized by the investment community over the past quarters, we have seen a narrowing of the historic valuation gap versus global food peers as ALFA is Sigma, a leading global food company. From a credit standpoint, investment-grade ratings were affirmed by all three agencies shortly after the last spinoff was approved. Most recently, ALFA received an upgrade from Fitch Ratings to BBB, seating debt reduction at the parent level as a Sigma's solid business position. I will now turn the call over to Roberto to discuss Sigma's results.
Roberto Olivares: Thank you, Eduardo, and good afternoon, everyone. I am pleased to chair Sigma's outstanding results for the full year and fourth quarter 2024. I will begin with an overview of our financial and operational performance, followed by regional highlights, strategic updates on marketing and innovation and our outlook for 2025. 2024 was remarkable for Sigma, being the fourth consecutive year of revenue growth supported by record volume. We also reached a significant profitability milestone, surpassing $1 billion in annual EBITDA for the first time. Importantly, consolidated EBITDA margin of 11.9% represents the highest level in nine years. In Mexico, 2024 marked the fourth consecutive year of volume growth, highlighting a strong consumer preference. Positive trends across all categories and channels led to record annual revenues and EBITDA. In the fourth quarter, lower EBITDA reflects upward peso-denominated cost pressures from imported raw materials as well as higher end of the year expenses which were partially offset by volume growth. The U.S. also achieved record-breaking results with full year and four quarter highs in volume, revenues and EBITDA. Similarly, LATAM reached its highest annual revenue and EBITDA figures following four consecutive years of volume increases complemented by cost efficiencies. In Europe, annual EBITDA more than doubled year-over-year as the region achieved a consistent recovery over the past six quarters. During the fourth quarter, several flash floods caused by heavy rainfall in the Valencia region of Spain significantly damaged one of our plants. We are currently evaluating several long-term alternatives to recover capacity. In the meantime, we have been effectively redirecting production to other sites and trusted partners. It is important to note that our insurance coverage includes both business interruption as well as property damages. We reaffirm our commitment to enhancing profitability driven by margin expansion in the region. A unique brand portfolio plays a key role in Sigma's permanent pursuit to strengthen its connection with consumers. We're excited that our select group of $100 million brand grew by 5% in 2024, reaching a total of 16 brands that attracted annual sales about $100 million. On the capital allocation front, during 2024, Sigma invested $245 million in CapEx and distributed record dividends totaling $228 million, supported by a strong cash flow generation. Moreover, net debt decreased year-over-year, reflecting solid operating performance and timely liability management hedges. Shifting gears to strategic OpEx. Let me highlight two key developments. First, we advanced in strengthening our consumer centricity focus by recently creating the Global Chief Marketing Officer role, a new C-level position that will be pivotal in aligning and improving Sigma's marketing capabilities. Ana Maria Henao was appointed as our global CMO. She brings a great background with deep focus on consumer insights and engagement, having work in leading consumer packaged goods companies for more than 20 years. Additionally, we recently partnered with IDEO, a leading global design and innovation firm founded in Palo Alto, California. As part of this collaboration, we established a joint design studio comprise of selected Sigma and IDEO members: Brian Walker, partner at IDEO will lead the studio as Sigma's Creative Managing Director. The Studio will provide high-impact innovative solutions to key opportunities across the geographies. We're excited by the prospects of these two developments to continue elevating our consumer-centric marketing and innovation capabilities. Looking ahead to 2025, we anticipate sustained volume growth across all regions. On a currency-neutral basis, our normalized guidance forecast revenues of $9.7 billion and EBITDA of $1.1 billion. It is important to note that the average 2024 exchange rate for the Mexican peso against the U.S. dollar was MXN18.3. As referenced, an average exchange rate of MXN21 per U.S. dollar for 2025 will result in a currency specific guidance of $9 billion in revenues and $1 billion in EBITDA. Additionally, we expect 2025 CapEx to increase 43% year-over-year as we prioritize investments in capacity expansion projects in Mexico and the U.S. to fulfill robust demand. As we step into a new year, we welcome the opportunity to demonstrate Sigma's true values to the investment communities. We remain vigilant and meet increased market volatility, ready to adapt and thrive in changing conditions. Thank you for your continued interest in Sigma. We look forward to maintaining close contact. I will now turn the call back to Eduardo for regional comments and closing remarks.
Eduardo Escalante: Thank you, Roberto. Regarding our outlook, the guidance you just heard from Roberto is effectively the ALFA guidance. As a result of the final spin-off, we are no longer issuing consolidated guidance. However, there are still a few items on the consolidated level, which creates a difference versus Sigma's results. This difference was simplified in the fourth quarter by extraordinary items, such as write-offs, short-term costs and liabilities of non-Sigma operations as well as a temporary effect from discontinued operations. ALFA's comparable EBITDA is a useful reference to build the magnitude of such nonrecurring items. It is important to note that we are working to make sure that ALFA results converge with Sigma over time. Moving on to next steps. Distributing Controladora Alpek shares to ALFA's shareholders as soon as possible is the priority. The process is moving along as expected. We are actively engaged with the Mexican Banking and Securities Commission to complete the required registration to list Controladora Alpek on the Bolsa Mexicana de Valores, the Mexican Stock Exchange. Once registration and listing is completed, ALFA will issue a shared distribution notice and distribute Controladora Alpek shares shortly after. We maintained our previous view of finalizing this process before year-end. At the same time, we are pursuing other relevant work streams, including corporate governance actions such as board composition, optimizing shared services and strategic alternatives for noncore assets and legacy operations. In closing, we remain focused towards finalizing this exciting journey to realize ALFA's value potential. I want to thank each of the ALFA team members for their work getting us to this point and our shareholders and bondholders for supporting our initiatives. This concludes my remarks. We are now available to take your questions. Please, Hernan?
Hernan Lozano: Sure. We would like to begin the Q&A session with questions on ALFA. Eduardo and I will take questions on ALFA or corporate matters. As a reminder, Sigma and Alpek will be available to answer individual questions later in the Q&A session. Operator, please instruct participants to queue for questions on ALFA.
Operator: [Operator Instructions] Our first question comes from Lucas Mussi of Morgan Stanley. Please sir, go ahead.
Lucas Mussi: Eduardo thanks for the remarks. And thanks for the call on the gap between ALFA's EBITDA generation and Sigma. Again, it was really helpful, but I just wanted to make sure we understood this correctly. Is that a good basis to still think about 2025 as it pertains to still holding eventual holding costs that you guys have at ALFA or should we think about perhaps a lower number now that we are with only segment at your holding structure. I just want to make sure that we got this right. How should we be thinking about the remaining costs as it pertains to the holding as it pertains on ALFA?
Eduardo Escalante: Thank you, Lucas, thanks for the question, and thanks for attending the call. As I mentioned before, we are trying to make sure that the results of Sigma fully reflect on the consolidated results of ALFA since Sigma will be going forward, the only operation within ALFA. Today, we still have some cleaning up to do at the holding level most of which we did during the fourth quarter, hence, the difference between the EBITDA of ALFA and Sigma at the end of the year. But going forward, we expect those differences to be small and getting close together before the end of the year.
Lucas Mussi: Okay. Got it. And should we anticipate any cash effect that you guys still have to adjust perhaps in the first half of this year still or most of it is now behind us, perhaps related to the fourth quarter?
Eduardo Escalante: No. We still have some cash needs at the holding company, in particular, financial costs coming from the debt that we have guaranteed by Sigma, but we still have the holding company as well as taxes and in a much minor account regarding the expenses at the holding company, which again, should be -- should come down very, very quickly. Other than that, we do not expect any significant cash outflows at the holding company, of course, other than dividends paid to the ALFA shareholders.
Operator: There are no further questions at this time.
Hernan Lozano: Excuse me, operator. I do believe we have a question from Paulina Alcántara. Can we go ahead and pass her through, please?
Operator: Our next question comes from It looks like Paulina Alcántara. It looks like Paulina just lay down his hands. So, we will continue with the next question. So, our next question comes from Felipe Ucros of Scotiabank. Please sir, go ahead.
Felipe Ucros: Look as made one that I had on the holding cost, but perhaps if I can do a follow-up on the guidance. Directionally, how do you think the regions will perform relative to that guidance? And I know you probably can't give us exact numbers per region, but any idea of how that's going to break up across the regions? And then following up on that, on taxes. Obviously, there was a pretty steep hit from deferred tax charges. Can you talk about the drivers for this? And perhaps more importantly, how we should think about the tax line going forward post business spin-off? And I know it's been an uncertainty, but any further clarity would be great.
Hernan Lozano: Thank you, Felipe. We will have a section on Sigma with Roberto further in the call. But let me ask Roberto to jump in and answer that specific signal question for now.
Roberto Olivares: Hi, Felipe, thank you for your question. Let me talk briefly about the guidance. First is supported by solid volume growth, we expect to grow close to 4% in total company, and we do expect that the growth comes from all the regions ranging between low single digits and mid-single digits. We do expect to have some efficiencies, particularly in expenses in Europe and Latin America. We also expect to have a little bit more of pressure because of raw materials in Mexico and the U.S. But with -- the idea is to have a margin of around 11.1% in the next year. With that, what I can tell you is that, particularly, again, where most of the growth comes in volume. And that has to do with Mexico, particularly growing volume, low single digits, given that we are operating at capacity. This -- since a couple since last year and some other regions like the U.S. and Latin America increasing a little bit more in volume.
Operator: Our next question comes from Lucas Musi of Morgan Stanley. Please sir, go ahead.
Lucas Mussi: I'll keep my Sigma questions for the next section. But as pertains ALFA, just wanted to hear more perhaps about dividends. Of course, we had an extraordinary situation this year given the developments on the Alpek level. But just wanted to hear your thoughts on dividends going forward, dividend policy. How should we think about this will we see a more fixed policy perhaps tied to leverage? So just wanted to hear more of your thoughts on what should we expect ahead on dividends.
Eduardo Escalante: Sure. Lucas, thanks again for the question. Dividends will be proposed to shareholders in the annual meeting that we expect to have next month. So, we still don't have a figure for the year in the case of ALFA. Certainly, as in the past, we do expect to receive dividends from Sigma amount still to be determined. And again, with those dividends, we do expect to cover the cost of the financial costs as well as taxes and pay dividends at the ALFA level. We still don't know how much that would be -- but we have -- we will continue doing as we have done in the past, looking for a balanced capital allocation between debt reduction efforts and dividend payout. We will continue aiming at being not above 2.5x net leverage, which we achieved at the end of the year. And considering that will decide with the board for a proposal to be presented in the shareholders' meeting. Going forward, after that, I think we still have to define the dividends policy for Sigma being the new entity of -- certainly, dividends are expected to be paid, but how we will manage the following -- or how Sigma manages the future, I think it's something that has to be defined by the new Sigma Board going forward.
Operator: Our next question comes from Paulina Alcántara of AllianceBernstein. Please, go ahead.
Paulina Alcántara: Last year, you had mentioned that you were looking to sell some corporate real estate assets in Monterrey. I would be I'm interested to hear if you have any updates? And if so, will you please talk about what the time line should look like? And also, if you could just remind us like what is the estimated valuation range that you would expect to get for those assets?
Eduardo Escalante: Sure, thanks for the question. We have several assets at the ALFA level regarding real estate. We consider them to be nonstrategic assets. So, at the right price, we are looking for the best way to monetize those assets. We do have the real estate where the corporate offices are located. In that case, that is a prime land -- but we are still analyzing to decide if we sell the land as a whole or we sell the land in several parts or even if we -- or in this case, in the future, Sigma gets involved into developing the land in several years in order to capture the best possible value. I think that's the most valuable asset in terms of real estate that we have. The value, I don't have a fixed number, but certainly, it has a very much prime real estate, which should be valued at several hundred million dollars.
Operator: Our next question comes from Alex Azar of GBM. Please sir, goo ahead.
Alex Azar: Hernan, Eduardo, it's similar to the ones that we already heard about other assets. My question is on Newpek. How should we think about Newpek? I understand it's a small asset, but thinking of having Sigma alone, let's say, for 2026, how should we think about Newpek within your balance structure? In the past couple of quarters, we have seen positive headlines in the let's say, energy sector, some transactions where some of the blocks in the reforms were sold, I know that you cannot give us a number, but on the amount of a divestment in Newpek or if you're thinking -- how should we think about this?
Eduardo Escalante: Sure, Alex, and thanks for the question. We have been engaged for several years now into an actively divestment of Newpek. If you recall, we started with the assets we had in the U.S. and in South America and even some assets in Mexico. We continue doing so and expect to finish the divestment this year. We do not expect to get any significant amounts of cash from those operations. What we still have are very small and limited operations. However, we do not expect going forward either to have any significant negative impacts on our balance sheet. We did some adjustments at the end of last year, not only for Newpek but also for some other operating assets, non-Sigma operations that we have at the holding company to cover shutdown costs and liabilities of those assets. So, we do not expect to have going forward, significant negative impacts from any additional shutdowns.
Operator: There are no further questions at this time.
Hernan Lozano: So, we will now take questions on Sigma. Roberto Olivares, Sigma's CFO, will answer your questions. Operator, could you please prompt for questions on Sigma.
Operator: Dear participates, if you like to ask a question about Sigma, please use the Raise Your Hand button of your Zoom tool. Our first question comes from Andres Ortiz from BTG. Please sir, go ahead.
Andres Ortiz: Hernan, Eduardo, Roberto, I would like to abate into the fourth quarter dynamics in Mexico, margin dynamics in Mexico and your outlook for embedded in your guidance. Basically, we saw a large margin compression in Mexico, 590 bps, 12% EBITDA margin coming from 16%, 17%. So, could you give us a sense of how much was the pressure coming to the U.S. dollar and higher input costs? And how much is the expenses that you mentioned during the quarter? And if they are nonrecurrent. Any view on that will be super helpful.
Roberto Olivares: Sure. Thank you, Andres, for your question. Let me first start by saying that there's a seasonal component when we compare 4Q versus 3Q, due particularly with volume. So let me -- I will first set the basis on comparison versus one year ago, so year-over-year, which we have a gap of around 250 basis points. Out of that, around 100 basis points was related to margin due to the increases in raw materials, particularly both Turkey and the sudden depreciation of the Mexican peso during the 4Q '24. Raw material continued to increase throughout the quarter, generating this temporary impact on margin due to the lag. We have continued increasing prices in 2025, and we do expect to offset the full impact of this effect by the end of the first Q '25. There's another 100 basis points, and those are related to some nonrecurring lines that include particularly the impact from actuarial adjustments related to the labor liability in Mexico among others. We do not expect to continue having some impact from these topics in 2025. And finally, the balance, close to 40 basis points is related to the accrual to the employees' profit-sharing program. We needed to increase the reserve amount to complete what we will distribute of the profit-sharing program as of full year 2024. Despite the effect on margin, Andres, I would like to highlight that the year-over-year volume growth was remarkable in Mexico. And as I explained, part of this margin compression is temporarily because we're increasing prices, and the other one is mostly related to one-off effects. So, the guidance of 2025, the margin in Mexico, we do expect to have a little compression on margin, particularly because of a less friendly raw material environment, but more around the 15% overall in Mexico.
Andres Ortiz: Understood. So just to have it clear here. So, you expect like roughly 15% margin for the whole year in 2025. And you saw like 150 bps ratio from nonrecurring items this quarter. That's the way I should read this.
Roberto Olivares: That is correct, Andres.
Operator: Our next question comes from Lucas Mussi of Morgan Stanley. Please sir, go ahead.
Lucas Mussi: Roberto, thank you very much for the color on Mexico. My first question is on CapEx. We understand that most of the year-over-year increase that is implied on your 2025 guidance is related to additional investments in Mexico. So, I just wanted to see if you guys could give us more details on perhaps the specific categories that those investments will be directed towards? And what have you guys seen that is so particularly strong for this, specific categories that made you guys want to ramp up investments in the region. So any additional color or detail on how we'll be deploying that CapEx in 2025 would be helpful. Also still on CapEx, but thinking more about 2026 onwards. How should we think about the structural level of CapEx that we could assume for Sigma going forward? Is this new level perhaps related to sales, the new structural level of CapEx that we should expect from Sigma going forward? Or is 2025 more of a one-off intensified stronger investment phase? And then I'll queue up for my other question.
Roberto Olivares: Thank you, Lucas. Yes, sure. So, we're increasing the guidance on CapEx approximately $100 million when you compare it to what we invested in 2024. Out of that, around $20 million is related to the implementation of a new instance of our ERP system, particularly SAP, we're in a process to implement that. And the rest, as you mentioned, has to do with some strategic projects to increase capacity, particularly in Mexico. Just as reference, Mexico volume has increased in the last four years, close to 5% on a CAGR basis. So, we have been increasing volume significantly in Mexico. And since last year, since 2024, we're almost at full capacity in most of the lines in processed meat, in cheese and in yogurt. The idea of these investments has to do with some to free some capacity, some debottlenecks to remove some bottlenecks in most of the lines to be able to serve the volume that we expect to serve during 2025 and going forward. There's also some projects in the U.S., particularly related to Hispanic cheese that we also saw a significant increase in volume during 2024 and we do expect to continue having that volume demand for the next years. Having said that, we do expect to invest in a similar amount, maybe a couple of years, 2025 and then maybe something similar during 2026 and then come back to a more normalized level going forward of around 3% of sales going forward.
Operator: Our next question comes from [Federico Valencia of Group]. Please sir, go ahead.
Unidentified Analyst: One question following the previous question of Andres. I'm talking about Mexico. If I'm not wrong, in Mexican pesos, you increased in the last quarters, prices around about 10%. The first question if it's okay, that numbers. And the second one is how much of this could be price mix? How much price increase? And the third, when we see numbers of [indiscernible] how the traditional supermarket as present results, et cetera, et cetera? How do you see the environment in Mexico to continue to increase prices and reduce the margins, as you mentioned?
Roberto Olivares: Thank you, Federico, for your questions. The is correct. We increased prices close to 10% in Mexican pesos when you compare it to one year ago. That is mainly price actually mix is pretty stable versus last year. We had some price increases during the quarter, particularly in November in both channels, traditional and supermarket or motor channels. In regards to the environment, in 2024, we saw particularly higher demand at the beginning of the year of the modern channel and traditional was a little bit during the first half linen things change by the end of the year, we start seeing more dynamism in the traditional channel. We do serve channels very well and we have the capability of looking into both channels and there has been some or more dynamic in the traditional channel as the year ended. In regards to the numbers of that and the market. Again, I will say, in the first half, there was some -- or consumer companies were doing better than in the second half. We did perform well in the second half in regards to volume, and we do expect to do the same in 2025. When I did my remarks of our guidance, we expect to grow close to low single digits on volume on 2035. And so, we -- regarding -- or in spite of the rest of the market, we still do see some growth in Mexico now.
Unidentified Analyst: Okay. Thank you, Roberto. And the second question, following your explanation of the lower margins in this quarter, the employee provisioning programs will be next year. This is -- how do you compare and you say, 40 basis points this was -- you pay more this year than the last year. And the second one is the actuarial liabilities. Do you adjust every year it's time to time thinking in the next year in the fourth quarter of the next year? That is maybe the question.
Roberto Olivares: So let me start by answering the second one, first, the actuarial liabilities. Every year, the actuarial look at the calculation, particularly this year, there was a change in some of the assumptions of the liability moving from what was previously accrued with UDIs which are the inflation units of Mexico, now this year, we started using the minimum wage. So that imply a change that was relevant that we don't have that every year. And so going forward, we do not expect change, so significant as we have on 2024. And in regards to the profit-sharing program, this is -- again, this is part of -- in Mexico is called PTU is a profit-sharing program that we have here in Mexico. We were accruing or we accrued during all the quarters an amount that will we pay on the next year. So, you accrued what regards in related to the profit that you do in 2024, and it's paid on the second quarter of 2025 that amount we needed to accrue a little bit more in order to have the reserve the full amount that we were going to pay in 2025. So, we needed to accrue more in the last quarter.
Operator: Our next question comes from of Paulina Alcántara of AllianceBernstein. Please go ahead.
Paulina Alcántara: My question is related to portfolio optimization. Last year, you said that you were considering the sale of some noncore assets of Sigma. And my question is, if you have any updates on that front? Like do you have any ongoing negotiations or transactions? Or is this something that you have now kind of on hold given that you have successfully started the spin-off of Alpek?
Roberto Olivares: Thank you, Paulina. I will talk about those related to Sigma. Yes, we were evaluating some opportunities to monetize some non-core assets. As of right now, we don't have anything that we can comment about. Certainly, we look for the several opportunities to create value to our shareholders. And if there is a possibility to do something like that by optimizing or monetizing some of our assets, we will do it. but we don't have anything that we can comment right now.
Paulina Alcántara: Got it. Understood. And then maybe on the flip side, are you analyzing any potential inorganic growth opportunities? Or is that not something that you are currently considering?
Roberto Olivares: Thank you, Paulina. Sure. we always analyze opportunities that if there's, again, opportunities to create value for shareholders will also analyze some opportunities. Again, as of right now, we don't have anything that we can comment of any potential transactions.
Operator: Our next question comes from Nicolas Riva of Bank of America. Please sir, go ahead.
Nicolas Riva: I missed kind of the first half an hour of the call, so apologies if you have already addressed this. But I wanted to ask about the pending steps on the spinoff of Alpek. I understand you're going to be distributing the shares of Alpek to ALFA shareholders sometime this year. You already classified Alpek as discontinued operations in the balance sheet and in the income statement. So, I wanted to confirm that there's not going to be any more impact in terms of balance sheet, their figures, EBITDA from the spinoff of Alpek? That's my first question. And then my second question, I want to confirm that the capital increase that you did in the fourth quarter, roughly the $400 million raised at the ALFA level. If those were already fully used in terms of debt repayment at the holding company?
Eduardo Escalante: Sure, Nicolas. Thanks for the questions. First of all, we do not expect any EBITDA impact on ALFA -- regarding the spin-off of Alpek, as I mentioned before, we expect to finish the distribution of the Controladora Alpek shares before the year-end. As soon as we get all the relative approvals from the Commission National Bank Caridealores and the registration in a -- so the process is moving along with them. And hopefully, we will have good news soon. Regarding the capital increase, it was, in our opinion, a very successful process very much supported by most shareholders of ALFA. And the $392 million that we raised were fully used to reduce the debt at the holding company as we have committed. After we did that, basically, we prepaid some bank debt that we had we still have $700 million at the holding company. Basically, we have 2,044 bond which is guaranteed by Sigma as well as $200 million of bank financing, which are all fully prepayable and we are -- we plan to do so as soon as we can. So those are the comments. Basically, the net debt -- at the end of the year, we are at the holding company was $665 million coming from what I just mentioned.
Operator: Our next question comes from Felipe Ucros of Scotiabank. Please sir, go ahead.
Felipe Ucros: If I can do my follow-up on the tax question that I had asked before. Just wondering if you have a better idea of what we can expect from a tax rate perspective after the spin-off is completed? And second question I had was on the Hispanic brands in the U.S. They seem to have been a driver for the U.S. region lately. Wondering if you can comment a little bit more on this, the strategy behind it and how much it moves the needle at this point on the overall business?
Eduardo Escalante: Sure, Felipe. This is Eduardo. I will take the spinoff question, and then I will ask Roberto to talk about the Sigma question. Regarding the spin-off, we do not expect any tax impact on that spin-off we had some losses, which provide a tax yield coming from the previous spinoffs, which we plan to use for the Alpek spin-off. So, no expected impact -- negative impact regarding taxes.
Felipe Ucros: And any idea of what the effective tax rate will be like on a go-forward basis, talking long term more than a few quarters down the line?
Eduardo Escalante: Well, it would be down the line, it's going to be Sigma. And what we can tell you is we expect to continue having a very conservative tax approach. In Mexico, taxes represent roughly 30% of the profit.
Roberto Olivares: So, I will take the other one, Felipe, this is Roberto. Your question about Hispanic brands in the U.S. Yes, we have seen a lot of growth coming from the Hispanic brand business in the U.S. Just as referenced we serve mainly the Hispanic population, mainly in Mexico, to be honest, there's a lot of opportunity to continue growing in other sectors of the Hispanic population, Central Americas and other -- or people coming from other countries are growing in the U.S. at a higher pace that the people that have come from a Mexican origin. So, there's still opportunity to grow in those sectors roughly close to -- probably close to 50% of EBITDA in the U.S. come from that business from the Hispanic brand business that, to be honest, maybe a few years ago was significantly less. Some of that growth has been inorganically because of our acquisition of Los Altos that we but most of the growth come from a better coverage and better execution of that channel.
Operator: Our next question comes from Renata Cabral of Citi. Please go ahead.
Renata Cabral: So, we have here some colors about what you expect in terms of pressures in raw material prices. I wonder if you could have -- give us some color in terms of perspective, especially for pork in poultry and dairy for 2025? How you expect those markets to perform along the year in terms of pricing for you, especially for the Mexican operations? And if you can comment about potential hedges you have towards that would be really helpful.
Roberto Olivares: Thank you, Renata. Sure. Let me first split this question between the Americas and Europe. I will talk about Europe very briefly because actually in Europe, we do expect raw material prices to decrease during 2025. There has been more production in Europe was reflecting lower pressures in raw materials, and that is embedded in our 2025 guidance. In regards to the Americas, particularly the U.S. market, we have seen since the last year of 2024, pressure, particularly on poultry, given the avian influenza disease that has been affecting the U.S. particularly Turkey for us, which is a relevant raw material that we use for hams. And there has been pressure on that. we do expect to -- the pressure to continue, particularly during the first half of 2025 and then normalize a little bit more as of the end of the year. In regards to pork, there has been also some cost increases in pork given also lower production by the end of the year. In terms of pork, it's more some part of the dynamics and the demand that the industry has had. We have been taking some actions in order to mitigate those impacts. Let me talk particularly not necessarily hedges, but we do some inventory. We have been bringing more product from other regions, particularly Brazil. We have done some inventory hedging that will mitigate some of the impact, particularly because we do expect that during the summer, pork is going to increase a little bit more. In regards to dairy, we do expect dairy to be a little bit or the cost of dairy will be less than last year, particularly at the end of last year, there has been more production, a little bit more production in the U.S., and we do expect prices of dairy to decrease a little bit versus what we have in the last quarter of 2024.
Operator: Our next question comes from Lucas Musi of Morgan Stanley. Please sir, go ahead.
Lucas Mussi: Roberto, my last question. I just wanted to get more color on Europe. Just wanted to see if you could share more details regarding the restructuring initiatives, the efficiency measures that you guys are taking at this moment and have taken in the fourth quarter that explain the better margin performance. So, any color that would be more helpful. And still on Europe, I just wanted to get your sense on the Valencia plant. When should we expect that to normalize -- and if there was a negative impact on margins coming from the fact that you have a damaged facility in Spain right now, if you could help us quantify perhaps what could have been your structural margin if you hadn't had problems in your Valencia plant that will be grateful as well? That's it.
Roberto Olivares: Thank you, Lucas. Let me first start with that with your last question, the Valencia plant. Yes, unfortunately, we suffered the flash floods in our Duranta plant, which is in the Valencia region. The facility is severely impacted. We probably will not restart production in that facility as it is right now. We're looking into different scenarios to recover the capacity that we have in that. Just as a reference, that plant represented close to 9% of the European capacity that we have. We do have the insurance coverage. The insurance will pay for all the property damages to reinstall that same capacity and also for all the business interruption for all the volume that we as of right now have not been selling and the different in cost versus what we had and producing that volume in other plants or with third parties. In regards to Europe, we saw -- I mean if we normalize that extraordinary effect that we have in 4Q due to the rent impact we increased significantly the result in the last quarter -- and at the end of the year, we ended up with almost $100 million of EBITDA, $95 million to be exact, that implied margin -- EBITDA margin at the of the year of around 4.2%. We do expect to continue increasing that margin in 2025 to be more around the mid-single digits. And with that, also have -- and that will also have a seasonal effect that by the end of the year, we do expect to be maybe in the last quarter to be significantly above that. We're working on different fronts as we have explained, but in Europe, but most of the growth that we expect come from volume. We have identified different categories and type of products where we have a right to win to recover some of the volumes that we lost during the last years and we do expect to recover that dose during 2025. We have also been very careful with SG&A. We expect to keep expenses at bay during that year and with that increase in margin.
Operator: Our next question comes from Andre Ortis of BTG. Please sir, go ahead.
Andres Ortiz: Follow-up on price increases in Mexico. You mentioned that you increased prices in November, I believe. So those how much those increase is? And what's the carryover effect that you see for 2025? Because you mentioned that the increase in raw materials that you saw in the last couple of years -- in the last couple of months should be offset by the end of first Q? So, I just want to understand that.
Roberto Olivares: Sure. Thank you, Anders. So yes, during -- particularly during the last quarter of 2024, we saw both raw material cost increases, particularly poultry and also the depreciation of the Mexican peso that implied that our cost in pesos was a little significantly higher. We started increasing prices. We increased prices, both in modern and traditional channel since November. We started by removing some discounts and then presenting some new lease prices. During the rest of the quarter throughout the rest of the quarter particularly raw materials continued to increase. So, we need -- in our first month of 2025, we started to plan some other price increases. And the idea or at least with the forecast that we have on raw materials, FX and our revenue management initiatives, we do expect to close the gap by the end of first Q '25 and recover the margin that we have prior to these cost increases.
Operator: There are no further questions at this time.
Hernan Lozano: Thank you. So in that case, let me move forward and take questions on Alpek. We have José Carlos Pons, Alpek's CFO, as a reminder, Alpek hosted their conference call earlier this morning. So, operator, could you please prompt for questions on Alpek.
Operator: Dear participates, if you like to ask a question about Alpek, please use the Raise Your Hand button of your Zoom tool.
Hernan Lozano: Thank you. It appears that there are no questions.
Operator: There being no further questions. I would like to return the call to management.
Hernan Lozano: Thank you. So, thank you very much for your interest in ALFA. If you have any additional questions, please feel free to reach out to us. Have a great day, and we will now disconnect.
Operator: This concludes today's conference call. You may disconnect.